Unidentified Company Representative: Hello everyone, and welcome on CEZ Group’s Presentation of Results for Nine Months of 2024. It is my pleasure to welcome Martin Novak, Chief Financial Officer; and Pavel Cyrani, Chief Sales & Strategy Officer, who will walk you through the presentation, and then we will follow vis a Q&A session. I'm handing over to Martin.
Martin Novak: Good afternoon. Good morning, everybody. So let's start with Slide number 3 with financial highlights of first nine months of this year compared to last year. You can see that our operating revenue is 1% lower. EBITDA, which is an important number, is actually CZK5 billion or 5% higher, and we reached the level of CZK100 billion. Operating income slightly higher 6%, basically copying EBITDA. Our net income and adjusted net income is 21% lower compared to 2023, adjusted net income reaching CZK24.8 billion. Our CapEx is higher by almost CZK7 billion or 25% with details provided actually in the backup. Operating cash flow lower mainly due to a high inflow of funds from margining where we were getting actually a lot of funds back from the foreign exchange as a result of delivering the electricity and getting margins back in 2023, which is not the case, of course, in 2024. Our financial outlook for the full year, we expect EBITDA to reach CZK126 billion to CZK170 billion. Here, we are actually significantly increasing our guidance, as you will see later. And net adjusted income should reach CZK26 billion to CZK30 billion. When we look at next slide, Slide number 4, you actually see the main difference is between EBITDA of '23 first nine months and '24 in total CZK5 billion. So by far, the largest item is actually levy on revenues above price caps that was in place in 2023, and it is not in place actually in 2024, which is CZK8.5 billion, which is the vast majority of the generation segment actually positive variance. Then trading negative CZK4.1 million, it's mainly by the lower income from trading compared to previous year when volatility was significantly higher than this year. We are still actually above our expected or planned revenue. And so far, the income has achieved CZK4.4 billion on trading activities. And then we have revaluation of derivative transactions and hedging generation. So this gives us negative CZK4.1 billion year-on-year. Mining activities, CZK2.5 billion lower, mainly due to lower sales to external parties and also offtake from our own power plants both due to warm winter at the beginning of this year and also lower demand for coal due to market conditions. So then distribution segment, positively benefiting from a few factors. One is actually inclusion of GasNet Group, which is gas distribution in most of the Czech Republic that we acquired as of beginning of September. So there are numbers for one month only included, and this is CZK700 million then we had high negative correction factor in our Czech distribution in 2023, which was CZK1.5 billion negative, meaning if we don't have it now, it means it's a positive variance. And then we have other effects of CZK700 million in distribution, mainly higher investments in distribution assets. Sales segment is total CZK1.3 billion lower, mainly due to lower margin from electricity sales to end customers due to higher purchase prices. Then now on the next slide, we can see actually main changes in year-on-year net income. In the morning, we had a few questions actually on a change of net income of 21%. There are a few factors that are hard to predict or hard to model. One of them is lower level of cash that we had actually, 2024, mainly due to managing cash that we received in '23 from margin calls. And at that time, there were also much higher interest rates. So having free cash and high interest resulted into higher interest income now for the same period of time with lower level of cash and lower interest, we are CZK2 billion below 2023. We have also some exchange rate and revaluation of financial derivative effects. And the important section is also relating to depreciation and amortization, negative CZK1.3 billion coming from CZK0.5 billion from depreciation of GasNet, which is again September number. And then we have higher depreciation at just distribution agreed due to higher investments actually into connecting of our customers, and we have somewhat higher million depreciation of our nuclear assets. We have also a revaluation or higher deferred taxes in 2024. We actually decided to accelerate depreciation on coal assets, which you cannot see actually in those numbers because this is happening as of October 1, but we have to calculate deferred tax that will be a result of faster depreciation, basically coping both lifetime and also utilization of our lignite assets towards the end of -- between today and the end of 2030. And the effect of deferred tax is relatively higher because our tax rate for next year is about 81% due to deferred taxes and it will be significantly dramatically lower in 2026, going down to 21%, where all those charges might be actually somewhat driven depending on accounting rules. And that's the main kind of change in the net income. On the next slide, you can see actually updated guidance. We listed our guidance from the range of CZK118 billion to CZK122 billion, to CZK126 billion to CZK130 billion on EBITDA, due relatively significant move, but we have a good reason, and this for a big part, including inclusion of actually a GasNet Group in our interest growth, and as of September 1, we expect about CZK4 billion to flow into our numbers on EBITDA levels. We also had a better trading results than original planned, which is adding CZK1.5 billion, and we also won finally on litigation with Czech Railway Administration for electricity, they have ordered, but finally did not buy or take in 2022. So now there actually after 14 years, they will be paying us CZK1.3 billion and the lost profit plus interest over that time. That's the main driver. Then actually adjusted net income is basically staying flat with moving -- actually the bottom side of the range from CZK25 billion to CZK26 billion so mainly due to, as I said, higher depreciation and also higher deferred taxes. And that's -- those are basically the main drivers. You can also see some general assumption on the power prices and an estimate of our windfall taxes of being CZK29 billion to CZK33 billion for the full year 2024. On August 28, we actually finalized the acquisition of 55.21% of stake in GasNet, which is the biggest Czech gas distributor. We actually fully consolidated the company starting September 1. You can see a picture of the map what kind of area these company's covering very much the same areas we are covering in our distribution of electricity with the exception of Southern Moravia, where we don't have the electricity distribution, but we do have gas distribution out. We have all the volumetric numbers. So the size of the company and all the details actually on that slide. On Slide number 7, what is important to notice, actually, it is -- just to provide you a rough guidance, company is making on average around CZK10 billion EBITDA as it is regulated business and about CZK4 billion of net income. So this is something we can -- especially on EBITDA level, we expect in our numbers going forward. Well another important transaction is of -- is on Slide 8, we actually became a strategic or we will become strategic shareholder of Rolls-Royce SMR company, which develops small and modular nuclear reactors. We are now waiting actually for the regulatory approvals. We would acquire 20% stake in such a company, and it will allow us both -- allows not to be only a customer of the future Rolls-Royce SMR of product, but also be on the side of somebody who will be able to integrate our know-how from our few nuclear businesses we own that already are now very active in actually clear developments for other companies, and we are also able to attract production of nuclear parts actually our modules for modular reactors. We owns Škoda, [indiscernible] which is Škoda nuclear engineering in translation that is already now actually a maker of or producer of parts on the nuclear power plants. So we would expect to actually be included into value chain of growth stories of the SMR team and supply team and benefit on both sides as a customer and also as a supplier or a sub-supplier. Then another big news actually as of yesterday, we signed a deal with Polish to sell Polish coal assets to Czech company ResInvest Group. We signed it yesterday, evening, late evening, so fresh news. We were trying to sell our assets from 2019. If you -- gave it a few tries this time, it was successful. And we actually started on March 26 of this year. Totally, we sold 6 companies, but mainly it's about 2 power plants or heat plants. It is Skawina and Chorzów in Poland. They are hard coal plants, delivering heat to municipalities as well. We received -- there was quite a high interest actually. And then we brought it down to 7 binding offers and 4 of them were actually moving to the final round and then we chose by -- which was the best offer. The transaction will be closed after we received antimonopoly approval from Polish monopoly office -- antimonopoly office, and do some technicalities. So transfer of ownership, we expect this to happen actually in the first quarter of next year. And at that time, of course, we will book any income that will arise from that transaction and also provide details on the valuation. So I think this can be treated as a success of our M&A team and we are on a good path with all decarbonization efforts, actually. Other selected events of past quarter are listed actually on Slide 10. Just very briefly on September 13 to 16, Czech Republic was hit by severe flooding in especially northern and southern area of the country. We managed to take care of everything and basically with a few exceptions, although the electricity is connected, actually, all the electricity is connected back and there are just a few customers without gas connection. But we assume to make sure it all or by the end of the year. We also received or won the court against Czech Railway Authority, which I already commented on. There is a boom of connecting actually generating facilities, mainly photovoltaics and we connected for first 9 months, actually 42,000 generating photovoltaics for the 2 generating facilities and 40 of which are actually photovoltaic power plants, mainly on the roofs, actually both of the companies and also households. And that's basically -- those are the news. Now we will switch to generation mining segment, very briefly go through it. Our total generation mining segment is up by CZK2.2 billion. Zero emission generation is up by 18.1%, mainly caused by the fact that there is no actually levy on revenues and price caps that was only applicable in 2023 and not 2024. And that's why you can actually see a big effect on nuclear assets. Emission generating assets are down by CZK2.9 billion, bringing potentially CZK7 billion into our earnings. So again, the same, there is a little effect of the levy and then basically a few other factors, the biggest discrepancy or difference is actually about CZK2 billion that relates to lower revenue from ancillary and regulatory energy services, trading down by CZK4.1 billion as I already commented on generation segment in total, then 4.7 plus, mining 2.5 negative due to lower demand for coal. On Slide number 17, you can see actually the chart of the renewables and nuclear generation we expect to be down by 3% on nuclear facilities, mainly due to lower availability of the Marginal power plant and somewhat higher on the renewables, mainly German solar and also new photovoltaic pants, so it would be operating. On electricity generation from coal and natural gas, overall number is expected to be 3% below last year, 17 terawatt hours decrease on the coal assets by 3%, Then there is a decrease in Poland, 19%, mainly due to lower deployment and reflecting, which is reflecting market conditions, but taken but understanding that those are mainly heat plants, they also have a lower heat sales actually during the warm winter of 2024. And there is an increase of 6% in gas generation. Important, Slide 15 is actually hedging of the market risks. We are selling electricity as you know, 3 years ahead now, actually we sell 2025 now available, even 2028. So we are 80% hedged for next year, almost 50% 2026, going down to 5% for 2028. And as we hedge the power made from lignite plants, we actually hedge carbon credits and they are actually shown on the right side of the chart. So I think that's all for generation mining. And now I will hand over to Pavel, who will guide us through distribution and sales segment.
Pavel Cyrani: Well, thank you, Martin. The main highlights were already mentioned, but let me go through it in more detail. On the distribution, we see a year-on-year growth of CZK3 billion. On the GasNet side, obviously, it's a new addition to the group on the lower half of the page, you see what would be the year-to-year difference for the GasNet if it was contributed to the whole year. The main 2 drivers behind this growth are the same. One is there is a quite significant investment going into the both networks as a part of the transition of the Czech energy sector from coal to gas and renewables. So new connections of all kinds. And secondly, in both cases, the year 2023 was impacted by negative correction of factors from 2021. So that's a one-off thing. In terms of consumption, we still see a slight decrease in consumption, but it's kind of leveling out. So it seems that the savings on the customer consumer side have been exhausted, and we actually expect to see more growth again, in line with the transition from coal to electricity and gas in the coming years. In terms of the sales segment, although there is a drop on the Q1 through Q3 numbers between '24 million '23 million. In general, we see the business going well. In terms of the retail, these are kind of one-off things that are reflected in the fluctuation of purchasing and selling and pricing electricity, but they typically even out in the full year. In terms of the B2B segment, the Energy Services ESCO activities in general are growing. We see a drop in the commodity sales, but that was driven by more of an extraordinary profit on procuring renewable electricity in '23, I would say, a one-off window opportunity. Again, I think '24 is the year when kind of the one-off factors still spring over from the energy crisis are kind of phasing out, and we are expecting basically a somewhat steady growth in the years to come. In terms of the volume of electricity and gas sold, I guess, 2 factors. One is in line with the overall drop in electricity and gas consumed, there is a drop. On electricity, there is a one-off drop to be seen between '23 and '24. Again, as a part of the consumer behavior during the crisis, there was a segment of few consumers, which are typically not retail, but they switched to our retail company during the crisis, they had 2, 3-year contracts, which expired now, and they are moving to the B2B sectors, our ESCO and our B2B supplier. So there is a more significant drop in the electricity and gas sold not in line with the number of consumers. But again, this is a one-off thing and we expect then the electricity and natural gas supply to go in line with the overall consumption in the country. Energy Services in general, going well. Obviously, company is still working on switching from coal and other more CO2-heavy technologies into electricity and gas and in general, trying to save energy. So the energy services focused on providing renewable electricity, on-site generation and efficiency in general are in high demand. And that's all. And obviously, I'm handing back to Bara.
A - Unidentified Company Representative : [Operator Instructions] We have the first question from Arthur Sitbon, you can unmute yourself and go ahead.
Arthur Sitbon: The first one is on the guidance for 2024, specifically at net income level. I'm trying to understand the moving parts for the fourth quarter of the year and if there is anything exceptional happening for the group in Q4, potential negative one-offs? Because I've noticed that to make the midpoint of the net income guidance of CZK28 billion, you need only CZK3.2 billion of net income in Q4. Yes, so I was wondering if there was anything negative. I understand the accelerated depreciation on coal. But isn't there a very high tax shield on that with -- well, given you have a 60% windfall tax. Any thought on that can help. And the second question was on your networks business. I was wondering if you could provide any thoughts around the upcoming regulatory review where you see DLR return evolving in the coming review and if that could also be an opportunity to accelerate CapEx there even further than what is planned at the moment for the business?
Martin Novak: Okay. So I'll answer the first question, and it is actually related to net income. What you don't see is actually CZK2 billion accelerated depreciation that will appear in first -- in last quarter of 2025 -- 2024, sorry. So you only see the effect of the deferred taxes, but not the depreciation itself. So this is apart from many other parts, what's there. And there will be also gas net depreciation, it should be around, in total, about CZK2 billion. So mainly depreciation area, apart from what has been already disclosed actually today. And this is why -- and all those items are actually hitting net income but not EBITDA. This is why despite a significant increase of EBITDA, you don't see much actually happening in net income and plus there is another issue and it is the in Forex with taxation where it is, CZK1 billion made actually on CEZ level does not fully translate to net income. So that's what it is, and now regulatory, yes --
Pavel Cyrani: There's actually just right now, a public consultation process running for the sixth regulatory period, which starts January 1, 2026. So a year a little bit from now. Already in this public consultation, the proposal by the regulator is ultimately 7.9%, which is 6.9% plus 1% of bonus for reaching a certain level of investments of CapEx. But at the same time, we still make the claim with the regulator that this is not enough. And that the overall reg should be still increased in light of the situation on the market. And we will succeed. At the same time, the decision of the regulator will be eventually made by 28th of February 2025. So that's the time we have to negotiate with the regulator.
Unidentified Company Representative: We have the next question from Anna Webb.
Anna Webb: Anna Webb from UBS. Firstly, a question on sort of this year's guidance going forward on GasNet. Obviously, you've given the guidance of roughly CZK4 billion contribution expected to EBITDA level from GasNet. But can you talk a bit about the net income impact? I mean, I know there are some other effects that you've just spoken about for this year, but maybe you could talk about the overall impact on the income that you're expecting from GasNet. I think you gave some guidance on the stand-alone, but you also obviously have higher financials and minorities. So anything you can give us kind of this year and going forward on that. And then secondly, a question on the taxes. I think you have this deferred tax impact that you talked about. And I think I saw some headlines that might swing back the other way. So if you can give any details on sort of the movement and timing there and then the impact of GasNet also on taxes because I assume, particularly on the windfall tax, you'll have a higher reference base for the profit before tax. And so I wondered if that had a sort of impact on your windfall tax rate? And if there's anything you can tell us about, for example, for next year, what you might expect about the overall effective tax rate you might see?
Martin Novak: So actually, regarding GasNet, EBITDA as I said, so net income actually for 2024 should be positively impacted by about CZK700 million coming from GasNet. EBITDA, CZK4 billion. Overall, actually, GasNet makes about CZK10 billion EBITDA annually and about CZK4 billion net income. And what will actually be flowing into our numbers on the consolidated numbers on consolidation level, it would be around CZK2 billion as it is described on Slide number 7. Actually, you can see that there is also expense for about CZK2 billion a year due to the depreciation of the value of GasNet at the consolidation level. The asset value is adjusted to market value in consolidation, whereas the book value of GasNet is historical numbers. So you can expect about CZK2 billion net income annually and CZK10 billion on the EBITDA level from GasNet. Then you asked about the deferred tax, if I understood correctly, swinging back, deferred tax is a really complicated calculation. We have hundreds, thousands of asset items actually in our books. So -- but very simply said, now actually, we had to take this charge due to high so-called, I would call it tax shield, which is not really a tax shield because it only relates to the year 2025. And as of 2026, it will go actually down back to 21%. So that this tax shield will be again 1/4 of what it is today for the newly added depreciation of the power plants. So that's basically -- and the impact will be seen only probably in 2025 and later when the future tax rate will be only 21%. So this is a temporary thing. And that's it, I think, right. And I think we answer this thing.
Anna Webb: Impact of GasNet on windfall tax -- effective tax rate?
Martin Novak: Yes, there is actually, there might be some impact. We are now assessing it, they are now part of the group. And it might actually have an impact probably reducing the tax but very little. That's why we actually provide a range of CZK29 billion to CZK33 billion, and this already includes possible effect of the GasNet in all.
Unidentified Company Representative: We have the next question from Piotr Dzieciolowski from Citi.
Piotr Dzieciolowski: I wanted to ask you a couple of things. So first one is about your 20% stake in the Rolls-Royce. Can you please tell us what is your financial commitment to these investments? And what is the possible schedule of rollout of these reactors and how you will be involved in this project. So that's the first question. And second question, I wanted to ask you about the early shutdown of lignite. Do you think that's possible? And what is the current timeline and when -- how that compares with the possible profitability that is still maybe in the black until this time, probably -- would you agree that in the next 2, 3 years, these plants may have a problem economically to provide -- to generate cash flow?
Martin Novak: So regarding Rolls-Royce, actually, we just entered in the transaction. We still, I think, don't disclose the details until this is done. Until there is actually until the transaction is closed. So we are waiting for all the regulatory approvals and only then we will comment in more detail. And now, Pavel, actually on lignite part.
Pavel Cyrani: Look, we are looking into how to best operate the lignite stations. It is clear that they will be more and more operated and profitable in the winter and less so in the summer. So we plan -- we can probably expect the number of hours, operating hours to go down. At the same time, whether this will be offset by the increased prices in the winter, this is to be seen because obviously, we all have been used to looking at the baseload prices as some indication, which is, in fact, the indication. But at the same time, you have to see the baseload prices an average of -- price is close to zero in the summer and then very high prices in the winter, which the lignite stations can still operate in. We will also look at how to optimize the supply of the lignite to individual stations because the main fixed costs do not come from the station as such but rather from operating the mines, and this is something that we will look into over the next month to see how we can operate them profitably as long as possible.
Unidentified Company Representative: So we have our next question from [ Ali Abbas ].
Unidentified Analyst : Just a follow-up on the previous question around the Rolls-Royce acquisition. So I appreciate you haven't disclosed the details, but -- just can you remind me what the financial policies are when you think about M&A, and what sort of leverage you want to keep within when generally you're thinking about M&A? And I presume this transaction would follow the same sort of guidance?
Pavel Cyrani: You mean financial leverage or you mean like manager leverage over the company?
Unidentified Analyst: Financial, please.
Martin Novak: Well, our financial leverage overall for the business is around 3.5x net debt to EBITDA, mainly due to ability to increase this from 3 because of acquisition of GasNet. But not sure whether this is what you are asking for actually so -- and -- but also that's it -- that's...
Unidentified Analyst: So the target -- so you're currently at 1.5x of EBITDA, what you're saying is our target is to stay below 3.5 turns?
Martin Novak: Yes. But we have quite a lot of CapEx ahead of us. So --
Pavel Cyrani: Yes. The main CapEx outflows for the years to come is not from acquisition. This will be minority. Most of the CapEx ahead of us is basically in rebuilding our -- combined the power fleet from coal to gas, investing to the grades, investing in the backup power, new renewables, storage and so forth and so on.
Unidentified Company Representative: We have a follow-up question from Piotr Dzieciolowski.
Piotr Dzieciolowski: Yes. I wanted to ask you, can you please remind us what is the asset-light fund for your nuclear reactors because one is old, the other one is new. And I just wanted to understand whether you can extend them, for how long these assets can operate?
Pavel Cyrani: Right now we are looking at least 60-year lifetime, but obviously, we'll be also examining ways even beyond 60. Right now the way it is licensed. It's -- there is no time limit to the operation. The way it's done is that we have to undergo a review every 10 years. And as long as we are successful in this review, we can operate another 10 years, and this can continue as long as we can succeed in the review.
Piotr Dzieciolowski: Do you think there will be elevated CapEx for the kind of together next 10-year extension. How do you think about the normalized CapEx level for your fleet?
Pavel Cyrani: Well, there is obviously CapEx related to the maintenance of the fleet, I don't think we are already at this moment to give you an outlook for like a levelized CapEx over 10 years.
Martin Novak: But generally speaking, it is clear that whatever CapEx is to be spent actually on keeping the current plants running is probably the best investment you can make because of the profitability of the nuclear power plants.
Unidentified Company Representative: We have the next question from Petr Bartek.
Petr Bartek: Good afternoon. On [ Luana ], if you can provide an update regarding the negotiation about the financing for the second nuclear unit in the [indiscernible] or a more in general, whether there is any development on the European Commission level and so on regarding the project.
Martin Novak: No, the discussion is going on. As you know, we have an approval from you for the financing model of the 6 unit, but on the 6 unit. So this is in the hands of Ministry of Industry. And basically, the assumption will be that this model would be similar or identical as to unit number 5, but it needs to be notified with EU, and there is basically -- and that's it. And so there is no news on that end.
Unidentified Company Representative: And next question from Robert Maj.
Robert Maj: It's Robert Maj from IPOPEMA Securities. You mentioned that you want to undergo the significant CapEx of changing in coal heating plants into CCGT as far as I understand correctly. Can you provide us with any kind of estimate what kind of CapEx, I don't know, per megawatt you can expect in this process or in bulk, what kind of numbers we are speaking about.
Pavel Cyrani: Look, when we look at the current extent of the plan, we are looking at somewhat around CZK70 billion in terms of heating stations. Now it's difficult to change like recalculate it to CapEx per megawatt because typically, what we are going from is a large lignite station into a -- like a mixture of simple boilers without electricity production and gas then combined power coming from biomass, also gas, sometimes even like boilers fueled by electricity and heat pumps. So it's always a combination of these devices, which are tailored to that specific location, specific needs of the customers on the site.
Unidentified Company Representative: We have a follow-up from Petr Bartek?
Petr Bartek: Yes. One more. Last time on the last quarter, you discussed the preparations for some support for capacity payments or whatsoever for CCGTs. Not hitting plants, but for new gas-fired power plants. Is there any progress or something worth to share with us, maybe your pounds for the gas power plants, not CCGTs, but power plants?
Pavel Cyrani: Okay. Right now, what we observe is that the currently -- that the so-called [indiscernible] in Czech, which is like a renewable number 3, whatever, which is like a comprehensive update of some of the energy-related electricity-related legislation, it contains newly the possibility for the Ministry of Industry to install a capacity market. Obviously, without the details of such capacity market, it just gives the right to the ministry to do it. So we expect this to be after this package is approved, which I hope will happen either at the end of this year or beginning of next year. Then the next step is actually designing the actual capacity market and also notifying it with the European Commission. And now when this is finished, we have projects ready basically at all our current lignite sites at around 1,600 megawatt worth of electrical output. Obviously, if we will do all of them, some of them, it will all depend on what the capacity market will be and also what the -- if this will be auctions, for example would the demand, the requested capacity output or electrical output will be from the ministry.
Unidentified Company Representative: Okay. We do not have any further questions. So I will conclude this call here. But as always, Investor Relations is ready to continue the conversation right away. Okay. Thank you for the participation, and goodbye.
Martin Novak: Goodbye.
Pavel Cyrani: Goodbye.